Operator: Good afternoon ladies and gentlemen. Thank you for standing-by. Welcome to the High Liner Foods' Incorporated Conference Call for the Results of the Third Quarter of 2014. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue for questions. (Operator Instructions) This conference call is being recorded today, Friday, November 7, 2014 at 02:00 PM Eastern Time for replay purposes. I would now like to turn the conference over to Heather Keeler-Hurshman, Director of Investor Relations for High Liner Foods. Ms. Keeler-Hurshman. Please go ahead.
Heather Keeler-Hurshman: Thank you for joining High Liner Foods conference call to discuss our financial results for the third quarter of 2014. On the call today from High Liner Foods are Henry Demone, Chief Executive Officer; Paul Jewer, Executive Vice President and Chief Financial Officer; and Keith Decker, President and Chief Operating Officer. Today's call will start with Paul reviewing the Company’s financial performance for the third quarter of 2014 followed by Keith who will discuss operational highlights of the quarter and then before opening the call for questions, Henry will provide an update on strategy and concluding remarks. Before turning the call over to management, listeners are reminded that certain statements made in today's call may be forward-looking statements that are subject to risks and uncertainties. Management may use forward-looking statements as they discuss the Company's strategy and business in the future. Actual operating or financial results could differ materially from those anticipated in these forward-looking statements. High Liner Foods includes a thorough discussion of the risk factors that can cause its anticipated outcomes to differ from actual outcomes and its publicly available disclosure documents, particularly in its annual MD&A and annual information form. Please note that High Liner Foods is under no obligation to update any forward-looking statements discussed today. Earlier today, High Liner Foods reported its financial results for the third quarter of 2014 by news release along with the Company’s MD&A and unaudited condensed interim consolidated financial statements for the third quarter of 2014 have been filed on SEDAR and can also be found in the investor information section of High Liner Foods’ Web site. If you would like to receive our news releases in the future, please visit the Company's Web site to register. Lastly, please note that the Company report its financial information in U.S. dollars and the results to be discussed today are stated in U.S. dollars unless otherwise noted. High Liner Foods’ common shares trade on the Toronto Stock exchange and are quoted in Canadian dollars. I will now turn the call over to Paul. Paul, please go ahead.
Paul Jewer: Thank you, Heather, and good afternoon everyone. Before beginning my financial review of the third quarter, I’d like to remind listeners that we use certain non-IFRS measures and ratios when discussing our results, as we believe these are useful in assessing the Company’s financial performance. These measures are fully described and reconciled to IFRS measures in our MD&A. I’d also like to remind listeners that we acquired American Pride Seafoods on October 1, 2013 and therefore last year's comparative results do not include the impact of this acquisition. Lastly, on May 30th of this year, High Liner Foods’ outstanding common shares were split on a two-for-one basis and the impact of this stock split has been retroactively applied such that all comparative earnings per share information discussed on the call today have been restated to reflect this split. In the third quarter of 2014, reported sales increased by 13.9% to $246.6 million compared to $216.5 million in the third quarter of 2013. American Pride contributed $31.9 million to sales in the third quarter. In domestic currency, which is before the impact of converting Canadian dollars denominated sales to U.S. dollars, sales increased by 15.4% to $253.3 million compared to $219.4 million in the same quarter last year. The weaker Canadian dollar in 2014 increased the value of reported sales by approximately $3.6 million relative to the conversion impact in the third quarter of 2013. Sales-by-volume increased by 11.7% to 70.1 million pounds in the third quarter of 2014 compared to 62.7 million pounds in 2013. American Pride added 10.8 million pounds to the third quarter and excluding American Pride pounds sold decreased by 3.4 million pounds primarily reflecting lower sales volumes in our U.S. foodservice operations. Adjusted EBITDA decreased by $3.1 million to $19 million in the third quarter and was 7.8% of sales compared to 10.2% of sales in the same period last year. American Pride contributed $500,000 in adjusted EBITDA in the third quarter and excluding this adjusted EBITDA decreased by $3.6 million. This decrease reflects lower sales in our U.S. foodservice business, lower product margins in in the U.S. and higher SG&A spending in the U.S. partially offset by higher product margins in Canada and lower distribution cost in the U.S. which Keith will elaborate on in a few minutes. In the third quarter, reported net income was $7.6 million with diluted earnings per share of $0.24 compared with net income of $7.4 million and diluted earnings per share of $0.24 in the same period of 2013. The $200,000 increase in reported net income reflects lower finance cost, lower stock compensation expense and a slower effected income tax rate. Partially offset by lower adjusted EBITDA and higher onetime cost related to acquisition, integration and supply chain optimization activities. Excluding the after tax impact of certain items which are explained in our ND&A adjusted net income in the third quarter decreased by $2 million or 19.2% in 2014 to $8.4 million and correspondingly adjusted diluted earnings per share decreased by $0.06. Turning now to the balance sheet, net non-cash working capital balance was $257.2 million at the end of the third quarter and $72.4 million higher than the balance at the end of the third quarter last year, reflecting the American Pride acquisition along with increased inventories and decreased payables related to the rest of the company’s operations. Inventories were higher this year reflecting a buildup in the first quarter to minimize the risk of product shortages during the high volume Lenten period combined with lower than expected sales volumes in the first three quarters of 2014. At the end of the third quarter our net interest bearing debt was $343.3 million, $75.7 million higher in the balance at the end of the third quarter last year. This increase reflect increased net non-cash working capital requirement as I just discussed along with the use of debt to finance the American Pride acquisition and the purchase of a previously leased cold storage facility in March of this year. Our net interest bearing debt to adjusted EBITDA ratio calculated on a rolling 52 week basis increased to 4.0 times at the end of the third quarter compared to 3.9 times at the end of fiscal 2013. That concludes my financial review for the third quarter of 2014. And I would now like to turn the call over to Keith to discuss operational highlights of the quarter.
Keith Decker: Thank you Paul and good afternoon everyone. I’d like to elaborate on some of the items Paul mentioned that had an impact on our third quarter results, starting with those related to our Canadian operations. Sales in the third quarter from our Canadian business in it’s domestic currency increased by $4.5 million or 5.7% to $83.2 million and volume decreased by 900,000 pounds or 5.2% reflecting lower sales in food service and retail. Adjusted EBITDA from our Canadian operations in the third quarter again based on domestic currency decreased by $600,000 or 6.8% to $8.2 million compared to the third quarter last year. This decrease is due to lower sales volume partially offset by higher product margins reflecting cost increases fully recovered through price increases. Turning the discussion now to our U.S. operations. American Pride added $31.9 million in sale and 10.8 million pounds of volume in the third quarter. Excluding American Pride sales decreased by $2.6 million or 1.8% and volume decreased by 2.5 million pounds or 5.6%. The decline in volume was in our U.S. food service business. Unfortunately, this part of our business remains challenged as many of our major customers operating in U.S. food service industry are continuing to experience soft sales. The continued sales decline in our U.S. food service business reinforced that how important it is for the company to bring innovative products to its customers and we continue to make progress on this. American Pride added $0.5 million to Adjusted EBITDA in the third quarter and excluding this adjusted EBITDA from the U.S. business decreased by $2.6 million compared to last year. This decrease is due to lower food service sales volume, lower product margins reflecting cost increases not fully recovered through price increases and increased marketing spending. Partially offsetting the unfavorable impact of these were lower distribution costs in 2014. Distribution costs were lower in 2014 reflecting that the company incurred additional distribution costs in 2013 related to the closure of the Danvers plant and relocation of our U.S. food service distribution to the Newport News. Before turning the call over to Henry for an update on strategy, I would like to share that the integration of American Pride was completed last week with the successful migration of American Pride to the computer systems being used by the rest of the company. The full benefit of the synergies associated with this integration are expected to be realized in 2015. I would like to thank all the employees whose hard work resulted in this integration completing on time and on budget. With that I will now turn the call over to Henry.
Henry Demone: Thank you Keith. On October 7th, we were very pleased to announce our acquisition of Atlantic Trading Company. Atlantic Trading is one of the largest importers of frozen Atlantic salmon into the U.S. market and sells its products primarily into the retail channel. Its premium quality Atlantic salmon is sustainably sourced from Chile and Norway and enhances High Liner Foods product offering to our customers. Atlantic Trading’s revenues range from between $75 million and $80 million annually in U.S. dollar currency and this acquisition is expected to more than double our sales of Atlantic salmon products and be immediately accretive to earnings. Atlantic Trading is an example of the type of opportunity we believe continues to exist for us to acquire further frozen sea food companies in North America, acquiring profitable and complementary businesses like Atlantic Trading continues to be a key component of growth strategy. On the call last quarter, I shared that an external partner had been engaged to assist with our strategic goal for optimize our supply chain. As we believe they have the expertise needed to help us lower our annual costs by $20 million to $25 million U.S. dollars. The scope of this project is significant and I'm pleased to now be in a position where I can say that we've gained traction towards achieving this goal. The project was officially kicked-off in the third quarter and we are pleased with the progress so far. A significant area of focus is on optimization at the individual plant level where areas like labor productivity and yield improvement will be targeted. This work is well underway at our Newport News facility and will move to our Portsmouth plant beginning next week and other plants later in the fourth quarter. We have just started activities that focus on optimization at the consolidated entity level. These activities are focused on standardizing and consolidating ingredients and packaging and optimizing our global supply chain and procurement activities. We continue to expect net cost savings will begin to be realized in 2015 with the full benefit being realized before the end of 2016. We also expect that in the fourth quarter of 2015, we'll be in a position to provide an update on the cost savings realized so far. Earlier today, we shared that Mario Marino President and Chief Operating Officer of our Canadian operations has announced his intention to retire and will step down from his position in April 2015. Mario has added tremendous value to High Liner Foods during his 34 years with the company, providing strong leadership to the Canadian team particularly during the company's turnaround after losing 95% of its fishing quotas and its subsequent transformation and to a customer focused branded frozen seafood company. Mario's strategic thinking and insights have contributed greatly to the company's growth and success. On behalf of High Liner Foods, I want to thank him for his dedication and congratulate him on an outstanding career. The company has a succession plan in place for Mario and following a transition period his position will be filled internally by Jeff O'Neil. Jeff is currently the Vice President Sales and Marketing Retail for the Canadian Operations and has been working with High Liner since 2001. Jeff has more than 20 years of experience in the food industry including most recently six years with McCain Foods and prior to that, he worked with S.C. Johnson and PepsiCo. I'm very confident in Jeff's ability to assume this new role and provide strong leadership to our Canadian business. The company also announced today that Frank Van Schaayk has joined the company's Board of Directors. Mr. Van Schaayk has extensive of food industry experience including the past 22 years in various management roles at McCain Foods where he most recently held the title Regional President of the Americas until retiring at the end of September. We are extremely pleased to have Frank join our Board. Lastly, before opening up the call for questions, I'd like to share with you that earlier today the Board of Directors of the company approved a quarterly dividend of CAD0.105 for on a quarterly basis on the company's common shares payable on December 15 to holders of record as of December 1, 2014. Operator, I'd now like to open the call for questions. Thank you.
Operator: Certainly. (Operator Instructions) Your first question comes from the line of Marc Robinson with Cormark Securities. Your line is open. 
Marc Robinson - Cormark Securities: So, just in previous quarters or I guess the last quarter there was some talk about haddock and input cost pressure and there is some mentioned in the MD&A around your U.S. business and the inability to push through some of those price increases, can you just comment on haddock and maybe some of the other commodities, what the current situation looks like, what the outlook looks like and your ability to push through, any inflation?
Henry Demone: Marc. It's Henry. There's two components for that. One is U.S. dollar cost inflation and we haven't completely recaptured that, but we've recaptured a good part of it and then particularly on haddock there's an impact on the Canadian market and then you have the compounding impact of a weak Canadian dollar so, again if you look at the segment and information, our Canadian business had flat income for the quarter and under the circumstances, we're very happy with that frankly, so they have managed to deliver flattering for the quarter frankly in the challenging environment, but we do have rising raw material costs particularly haddock although the worst of that is behind us, it has stabilized on a high level, but we've also seen COD prices go up and [indiscernible] prices go up, Alaskan Pollock are biggest species by volume, it remains very favorably priced but we’re applying catch up with higher raw material costs that have been exacerbated in Canada by quite a weak Canadian dollar frankly.
Marc Robinson - Cormark Securities: And this question is a bit fluid. But given sort of this rapid deterioration in gas prices, do you think that helps at all the U.S. food service market, any life happening there and you think sort of lower gas prices might start to give a little bit of a kick?
Keith Decker: This is Keith Decker, I would say that the lower gas prices, if you think about the American consumer for most of the non-disposable activity, they commute to work, they commute for their children. So the lower prices will obviously increase their disposable income, it could make its way into the marketplace be a more food service [diversification], but then again it could this is going to the grocery bill. So it should be favorable for the U.S. economy as gas prices and particularly oil prices continue to come down for the future. I mean as we see on markets it’s like a tax cut, the question is what will they spend it on. And I think that’s the question.
Marc Robinson - Cormark Securities: And then just a final question here. The $150 million EBITDA target hanging out there and depending on your view on organic growth and adding American Pride synergies and Atlantic Trading EBITDA and then whatever the cost savings look like. There is a pretty sizeable bridge there in terms of M&A, I mean I guess anywhere between $20 million to $40 million or something of required EBITDA. With a debt to EBITDA position of four times. How do you think about funding that, what’s your appetite, how do you think about finding that?
Henry Demone: First thing, I think we said at the last call that we can see our way to $125 million and that remains true but all gap in 25 million, for small Atlantic Trading type deals we can fund those out of free cash flow for larger deals, we would clearly have to issue equity. I mean there is no order to book that. But for smaller deals we can fund those out of free cash flow, we did a number of things this year that reduced our free cash flow, we bought the PBT warehouse in the year. We bought out the lease in Gloucester not that long ago and we just paid for Atlantic Trading from our revolvers, so that plus capital has reduced our free cash flow this year. But generally our free cash flow is pretty good and we can fund smaller deals, we cannot fund a major acquisition without it showing some equity. Perhaps Paul you’d like to comment on?
Paul Jewer: Now certainly the small to mid-size deals I would say with the reasonable level EBITDA and a reasonable multiple are very financeable in the current marketplace and in our current capital structure. Part of the reason we did the refinancing in March was to give us some flexibility to do those kinds of deals but Henry said that with our larger deal and if our strategic deals and certainly we have an appetite issue equity is necessary for that larger strategic deals. But at this point it’s more likely that smaller to midsized deals that are available in the marketplace.
Operator: Your next question comes from the line of Michael Mills with Beacon Securities. Your line is open.
Michael Mills - Beacon Securities: Henry appreciated the comments with regards to some of the initiatives on the supply chain. Obviously the goal is to achieve that 20 million to 25 million by the end of 2016. I am wondering if you’re willing to comment in terms of what might be realistic to see realized in 2015?
Henry Demone: We haven’t disclosed that Michael, but we’re well under way and kind of start our second plant on Monday. It’s early but we’re on plans so far but I don’t have a number on my head about how much of that is going to hit the bottom line in 2015.
Michael Mills - Beacon Securities: Maybe on the American Pride I guess you now own that for just over a year. We have trailing 12 months revenues, I think it comes in about 145 million, when you purchase that if you disclose the trailing or I guess the 2012 revenues were 190 million. I am just wondering perhaps if there’s been some unexpected challenges with our business price can you just walk me through what the delta is there especially in the face of what I believe is a fairly strong market for scallops.
Henry Demone: I think they’re two things. One is the food service business there is focused on national chain restaurants -- that’s the weakest part of the food service market frankly. QSR is flat, white-tablecloth is up a bit and fast casual is growing nicely. So they’re focused on the weakest part of the market. And the second thing is the scallop market is very high and if you’re quarter holder these are great days. But we’re not a quarter holder, we buy those expensive scallops on the auction in New Bedford and at this level of pricing particularly strong U.S. dollar. We've lost some export business in the Europe, they switched to scallops of a cheaper origin and as well we've had some chain restaurants take scallops off of their menu again because of the price point. So the auction price in New Bedford on many days was in the mid-to-high teens and that's what the fisherman gives at the dock, so by the time you translate that into the marketplace, there's definitely reduction in demand for scallops at this level and we felt that.
Michael Mills - Beacon Securities: And in the MD&A, there's discussion around improving margins and American Pride closer to traditional High Liner type margins, in the face of what you just talked about, how realistic is that to really see an improvement from kind of the 3% range that we're currently experiencing?
Henry Demone: I think a lot of that comes on the cost side from synergies and from the powers company activities, frankly it's not going to come from the markets, but I think once we get the synergies and once we get the operating metrics that we expect to get after the powers company project, we won't be at High Liner margins, but I think we'll be closer.
Paul Jewer: Yes, and just to add to that Mike let me -- we just completed the integration from a back-office perspective in terms of IT systems, so there's still large synergy to come in 2015 that have not started to have been realized yet in 2014.
Michael Mills - Beacon Securities: And you guys have never quantified those synergies or what you're hoping to achieve there?
Paul Jewer: No. Not at this stage, no.
Michael Mills - Beacon Securities: Final question. Just looking at your product mix and given the state of foodservice 69% foodservice, what would you describe as the optimum mix between foodservice and retail?
Paul Jewer: Yes, I don't know if there's an optimum mix Michael, but certainly our Canadian business is a more balanced business than our U.S. business, that's about 50-50 foodservice and retail. We're clearly focused on growing our retail business in the U.S. that's an important objective of ours, but we still need to continue to find ways to grow in at important foodservice marker which has been a historical strong point of ours.
Henry Demone: I think Paul said it well, I mean our Canadian business is just marginally greater than 50% foodservice and we love that mix right, because if the economy is bad and people are eating at home more, we pick up retail business if consumer start to feel optimistic and may eat out more than we pick it up on the foodservice side than we would. We are obviously much more weighted foodservice in the U.S., but we're trying hard to grow on retail to get it, we won't be to 50% but to get it closer to 50%.
Operator: So our next question comes from the line of Bob Gibson with Octagon. Your line is open.
Bob Gibson - Octagon: Just the external party, who's helping you out, I might have missed it on last quarter's call, how long you think they'll be helping you?
Paul Jewer: The supply chain consultants? Into the middle of next year for sure you'll see them assisting us with our initiative.
Bob Gibson - Octagon: And that was one of the reasons for the higher SG&A in the States, right?
Paul Jewer: That was one of the reasons for the higher SG&A in the States although I'd note, when you're looking at adjusted EBITDA please keep in mind that we have included the supply chain cost in the adjusted EBITDA number.
Bob Gibson - Octagon: You took that out.
Paul Jewer: We've moved them in calculating adjusted EBITDA, that's correct.
Bob Gibson - Octagon: That's important. Increased marketing in the states, can you give me some color?
Paul Jewer: Yes, it's primarily on and the retail side of the business in the U.S. on our Sea Cuisine launch.
Bob Gibson - Octagon: And then lastly, in Canada the price increases covered the cost increases, but they didn't in the States, can you give me some color on that?
Paul Jewer: You're right in Canada, in the U.S., it's primarily in the foodservice business and the reality is it's and in particular in the national account side of the foodservice business and it's a very -- it's been partially timing related, but also as we spoke of, it's a challenging foodservice market in the U.S. right now and passing on full amount of the cost increases has been a challenge for us.
Operator: Your next question comes from the line of Sabahat Khan with RBC capital markets. Your line is open.
Sabahat Khan - RBC Capital Markets: Just first off on the acquisition side, you guys did talk about the fact that it is a focus, can you maybe comment on how the market for acquisition is -- or without commenting I think specific, but I've seen that there is activity out there potential companies are looking at?
Henry Demone: You know Saba, we typically buy one digest it focus on integration and then start looking and that takes us 9 months to 12 months, I will say that the valuations for medium and large sized businesses with strong brands are very high. I think the deal that ratcheted up valuations was when Tyson bought process meat company the Hillshire Brands and they paid a big multiple for that and I think every potential seller look at that deal and ask for more. I think that that is going to lead us towards smaller bolt on deals where the multiples are more reasonable and where there is less risk and we’re better able to finance it out of free cash flow or with our revolver. But the valuations for medium and large size companies with strong brands have gone up because of this Hillshire deal.
Sabahat Khan - RBC Capital Markets: And just one more on the food service side in the U.S. Can you maybe comment on some of the progress or what you’re doing to kind of penetrate the fast casual segment of the market?
Henry Demone: So our focus has been on product innovation and I would say that the work that we’re doing in that regard probably start to come into the marketplace middle of next year at the earliest. And so we do have a number of projects underway to create products that will work in a fast casual environment along with other projects such as the Simply Fish project which we launched in Canada and that’s to bring a fresh fish opportunity into the hard discount channels that typically would only have frozen available. So I think there is some opportunity for innovation and we got a little bit of long before we could be able to roll that out.
Operator: There are no further question at this time. I would turn the call back over to the presenters.
Henry Demone: Thank you everyone for participating in today’s call. We look forward to updating you with the results of the fourth quarter on our next conference call in February.